Operator: Good day, ladies and gentlemen. Thank you for standing by. Welcome to today's conference call to discuss LifeVantage's First Quarter Fiscal 2023 Results. At this time, all participants are in listen-only mode. Following the formal remarks we will conduct a question-and-session. Instructions will be provided at that time for you to queue up. Hosting today's conference call will be Reed Anderson with ICR. As a reminder, today's conference is being recorded. And now, I would like to turn the conference over to Mr. Anderson. Please go ahead, sir.
Reed Anderson: Thank you. Good afternoon, and welcome to LifeVantage Corporation's conference call to discuss results for the first quarter of fiscal 2023. On the call today from LifeVantage with prepared remarks are Steve Fife, President and Chief Executive Officer; and Carl Aure, Chief Financial Officer. By now, everyone should have access to the earnings release, which went out this afternoon at approximately 4:05 p.m. Eastern Time. If you have not received the release, it is available on the Investor Relations portion of LifeVantage's website at www.lifevantage.com. This call is being webcast, and a replay will be available on the company's website as well. Before we begin, we would like to remind everyone that our prepared remarks contain forward-looking statements, and management may make additional forward-looking statements in response to your questions. These statements do not guarantee future performance, and therefore, undue reliance should not be placed upon them. These statements are based on current expectations of the company's management and involve inherent risks and uncertainties, including those identified in the Risk Factors section of LifeVantage's most recently filed Forms 10-K and 10-Q. Please note that during today's call, we will discuss non-GAAP financial measures, including results on an adjusted basis. Management believes these financial metrics can facilitate a more complete analysis and greater transparency into LifeVantage's ongoing results of operations, particularly when comparing underlying operating results from period to period. We've included a reconciliation of these non-GAAP measures with today's release. This call also contains time sensitive information that is accurate only as of the date of this live broadcast, November 2, 2022. LifeVantage assumes no obligation to update any forward-looking projections that may be made in today's release or call. Now I will turn the call over to Steve Fife, the President and Chief Executive Officer of LifeVantage.
Steven Fife: Thanks, Reed, and good afternoon, everyone. Thank you for joining us today. First quarter results demonstrated continued momentum across our strategic initiatives around innovation and engagement. Revenue of $51.8 million was down 2.7% from the prior year period, but included $2.7 million of FX headwind. Excluding the negative impact of foreign currency, revenue was up approximately 2.3% on a year-over-year basis. While the operating environment remains challenging, we are seeing positive signs in several areas, including our U.S. business, where revenue was up 1.1% versus the prior year period as a decline in the number of customers was more than offset by higher average revenue per account due to strong results from new product launches. We also continue to be encouraged by recent results in our international markets. Revenue in our APAC Europe region increased over 7% versus a year ago, excluding the impact of currency fluctuation reflecting an 18.2% increase in the number of active independent distributors in this region, in part driven by continued momentum from our recent launch in the Philippines. Sales of the new collagen product we launched in June far exceeded our initial expectations. This is a liquid-based product that activates the body's collagen production, replenishes depleting collagen levels and maintains those levels by reducing collagen breakdown in the body. It also helps protect against the damaging effects of oxidative stress caused by free radicals. Our unique formulation of proprietary ingredients has been clinically shown to deliver visible support to skin health and hydration in eight weeks or less including skin that look smoother, softer and has improved elasticity. Quarterly revenue for the product exceeded our sales forecast by 127%. Liquid collagen was placed on backorder intermittently in the quarter due to depleted inventory and extended fulfillment delays. Backorder status places the liquid collagen part of the order in a queue, which is then fulfilled as inventory becomes available. Any other products in the order are shipped immediately. The costs associated with the backorder periods has had an impact on our margins due to the associated split shipping costs. As of today, I am pleased to say we are off backorder. Liquid collagen penetration rates continue to climb in Q1. Customer penetration was 18.2% and distributor penetration reached 25.3% with a blended penetration of 20.3% for the quarter. This is up from the 10.6% blended rate as of August 15, which we reported on our fourth quarter call. Consumer acquisition reached 17.9% with just over $1 million of collagen revenue coming from new customer accounts in the quarter. In the first quarter, we also launched several personal care products as LTOs in Japan. We also expanded distribution of our Protandim product line with Protandim NAD launching in Japan and Australia. This launch has also allowed us to introduce the Protandim Tri-Synergizer in these markets, which has been a top-performing product stack in the U.S. We are encouraged by a 28.9% penetration rate of NAD amongst distributors in Japan since its launch in mid-September through October 31, and look forward to continued results in the coming months. Differentiating ourselves as the activation company, the company with products purposely designed to restore key processes or functions that have slowed down due to things like age, diet and environmental stress, has also resonated across social media. This strong company and product messaging led to a 70% increase in total engagement across all social media channels in Q1, up from an already strong Q4 where the buildup and launch of liquid collagen contributed to an increase there. Total brand impressions also increased 20% and video views on socials rose an outstanding 122%, both compared to Q4. Being the activation company is also driving energy and excitement in our field. This excitement has continued from our Activate 2022 event through the Activate year summer tour that included 18 locations across the United States. Distributors led these events where they focus on our activation message and the opportunity to earn an income. The MVP and collagen cash promotions married together have helped drive growth. We also continued to see increasing trends in distributor enrollments. With this consistent activity, we have also seen tremendous rank advancement movement amongst our distributors in the United States and globally. In August, there were three rank advancement to our Elite Pro 7 rank. And in September, we tripled that with nine Elite rank advancements including a new Pro 8 in Japan and a new Pro 10 in the United States. We anticipate strong rank advancement trends to continue as we finish qualification for our upcoming Elite retreat. Globally, we launched an MVP promotion, which provides a unified message in all of our markets. Japan launched with a better-than-expected adoption and ended their first month with a higher conversion rate than the United States. This behavior will continue to drive success in the market. In October, our global convention in Phoenix helped keep momentum strong early in the second quarter as we launched our activation message globally around four activation packs, three representing the core benefits of our products and one for our business opportunity. The three product packs are called Optimize Health, Achieve More and Look Radiant. We are calling our business pack Evolve Possibilities. By defining these activation packs we've made it simpler for distributors to guide customers to the LifeVantage products that are right for them, with the conversation centered around the wants and needs of the customer. Each of our product activation paths are centered around key product activation stories, as well as the recommended products every customer on that pack should build their regime around. Activation paths are also represented in the distributor enrollment experience. Three new enrollment packs were launched at our global convention, one for each of the three product packs. We are also bringing back seasonal favorites, Spiced Plum and Peppermint Stick as Axio LTOs in the US this quarter, along with the Daily Wellness LTO, Daily Wellness Lemon Ginger in the United States and Japan. Protandim NAD is expected to launch in Mexico in the second quarter, and we also expect to launch Axio in Australia and New Zealand by the end of November. Looking into early third quarter, our next major event, our virtual event we are calling Rock the Rhythm will be in January. This event will serve as a kickoff to the new calendar year with many exciting announcements that will set the stage for the future of LifeVantage. Finally, profitability is also poised to improve as we recently implemented globally a mid-single-digit price increase that will serve to alleviate margin pressures stemming from inflationary factors. In summary, our transformational strategy, emphasizing people, products and consumer experiences continue to gain traction. By becoming more dynamic and more inclusive, we are driving better outcomes for our customers and significantly enhancing the entrepreneurial opportunities for our distributor. The company remains committed to investments that will drive retention and repeatable revenue growth. The strength of our balance sheet, including nearly $18 million in cash with no debt allows us to continue investing in our future, while also returning value to our shareholders. Now let me turn the call over to Carl Aure, our Chief Financial Officer, to review our first quarter financial results.
Carl Aure: Thank you, Steve, and good afternoon, everyone. Let me walk you through our first quarter financial results. Please note, that I will be discussing our non-GAAP adjusted results. You can refer to the GAAP to non-GAAP reconciliations in today's press release for additional details. First quarter revenue was $51.8 million, down 2.7% on a year-over-year basis, and up 1.6% sequentially from the fourth quarter. Foreign currency fluctuations negatively impacted revenue by $2.7 million in the first quarter. Excluding the negative impact of foreign currency fluctuations, first quarter revenue was up $1.2 million or approximately 2.3% compared to the prior year period. Revenue in the Americas region declined 0.2% compared to the prior year period to $36.4 million primarily driven by a 7.8% decrease in total active accounts. As Steve mentioned, the decline in total accounts was offset by an increase in average revenue per account as a result of changes in product sales mix, primarily driven by the recent launch of the TrueScience Liquid Collagen product. Revenue in our Asia Pacific and Europe region decreased 8.2% to $15.4 million driven by a 4.1% decrease in total active accounts and negative impact from foreign currency rate fluctuations. The foreign currency impact was primarily a result of currency fluctuations in Japan which drove lower revenue in the country. On a constant currency basis, revenues in Japan increased by 3.2%. Despite the foreign currency headwinds, we continue to be encouraged by this region as a result of the 18.2% growth of active distributors and steady penetration from the recent launch in the Philippines, driven by distributor leadership, development and advancements. Gross margin was 80.8% in the first quarter compared to 82.3% in the prior year period. The decrease in gross margin was primarily due to increased shipping expenses, as well as shifts in geographic and product sales mix. Commissions and incentive expense in the first quarter decreased $0.3 million year-over-year. As a percentage of revenue, commissions and incentive expense increased 70 basis points to 46% versus one year ago levels, which was primarily driven by the timing and magnitude of various promotional and incentive programs. Non-GAAP adjusted SG&A expense was $16.6 million versus $15.3 million in the prior year quarter and was up 335 basis points as a percentage of revenue to 32.1%. This increase was primarily a result of expenses related to returning to in-person events and travel expenses as restrictions related to COVID-19 pandemic have begun to subside outside of the U.S. markets, as well as in increased expenses associated with legal fees, endorsement agreements, product testing and personnel compared to the prior year period. Adjusted operating income was $1.4 million compared with $4.4 million in the prior year period. Adjusted net income was $0.7 million or $0.06 per fully diluted share in the first quarter compared to adjusted net income of $3.1 million or $0.23 per fully diluted share in the comparable period last year. We recorded income tax expense of $0.2 million on non-GAAP income before tax in the first quarter compared to tax expense of $1.1 million a year earlier. For the first quarter, our effective tax rate was 25.9% on non-GAAP income before tax. The change in tax rate was primarily due to unfavorable discrete tax adjustments. Adjusted EBITDA for the first quarter was $2.8 million or 5.5% of revenues compared to $5.8 million and 10.9% in the same period a year ago. Please note, that all of the adjustments from GAAP to non-GAAP I discuss today are reconciled in our earnings press release issued this afternoon. We ended the first quarter in a strong financial position with $17.6 million of cash and no debt. We also continue to maintain $5 million of availability under our revolving line of credit. Capital expenditures totaled $0.7 million in the first quarter. We anticipate total capital expenditures for fiscal 2023 to be approximately $3 million. Turning to our fiscal 2023 outlook. We continue to anticipate our fiscal 2023 revenue to be in the range of $200 million to $212 million and adjusted non-GAAP EBITDA in the range of $12 million to $14 million with adjusted non-GAAP earnings per share in the range of $0.27 to $0.39 per share. For fiscal 2023, we expect our annual effective tax rate to be approximately 26%. And with that, let me turn the call back over to the operator for questions. Operator?
Operator: Thank you. We’ll now begin the question-and-answer session. [Operator Instructions] This concludes the question-and-answer session. I'd like to turn the conference back over to Steve Fife for any closing remarks.
Steven Fife: Thank you for joining us today. In closing, I want to take this opportunity to thank all of our employees for their hard work and dedication as well as our outstanding team of independent distributors and loyal customers. We remain confident in our business model and our focus on delivering the LifeVantage products our customers depend on. We hope you all stay safe and healthy and look forward to updating you on our next call. Have a great day. .
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating, and have a pleasant day.
End of Q&A: